Operator: Greetings. Welcome to Grupo Traxion Third Quarter 2025 Conference Call. [Operator Instructions] Please note, this conference is being recorded. I will now turn the conference over to Aby Lijtszain, Executive President. Thank you. You may begin.
Aby Lijtszain Chernizky: Thank you. Good morning, everyone. Thanks for joining us again for this quarterly earnings call. Let me start with the good news. As you know, we executed the integration of Solistica early in the quarter, and it has concluded successfully. It is the most relevant merger in the logistics industry in Mexico and a very strategic move on our side as it is transformational for Traxion. There are many synergies that we have captured so far. Among the most relevant are the transfer of the shared services center together with all their logistics back office to the Traxion platform and have executed several procurement efficiencies that have improved the bottom line. Traxion invested around MXN 1.6 billion in the acquisition and prepared the company to properly cope with the integration, which is expected to bring at least MXN 8 billion of additional revenue. Because of that, management decided to slow down organic growth to focus more on the successful merger of both operations. Most notably, Traxion significantly reduced its organic CapEx for 2025 to accommodate the acquisition of Solistica, which basically implies the same investment levels as in previous years, but with Solistica up and running in our platform. After the acquisition, the company remains with virtually the same level of leverage and interest expense, which is tremendously accretive. In summary, Traxion will post revenue growth with Solistica but will not change its leverage profile or interest expense at the end of the year which is very similar to having grown organically. Moving on, we experienced a downturn in both cargo and logistics operations. Even though export levels were in line with the same period of last year, there were some sectors affected by the tariff uncertainty in which many of our clients face challenges regarding their production and export operations, mainly the automotive and the online steel industries and some in the consumer and e-commerce sectors as well. There is a clear area of opportunity for us there as we have been shifting our capacity to other sectors of the economy with less volatility. Having said that, we are confident that our year-end top line figure will grow in the mid-teens and will be within the range of the guidance we released in our previous call. Thanks for your attention. I will now hand over the others for a deeper dive into details.
Rodolfo Mercado Franco: Thank you, Aby. Welcome, everyone. This quarter continued to be marked by a high level of complexity, driven by uncertainty surrounding tariff-related developments between the United States and Mexico and other countries as well. I will now walk you through the most relevant operating highlights. First, I'm very pleased to share with you that the Solistica integration was implemented successfully and that our 100-day plan concluded favorably according to our expectations, thus ensuring operating and financial progression and the retention of both talent and key clients. We designed an integrated structure aimed at collaboration, efficiency and value creation which in the case of Solistica has an even more enhanced effect as this company came from a very institutional enterprise. Moving on, synergies are coming in as planned. And we have seen some effects in margin that will become more tangible in the next quarters. Among the most relevant synergies achieved so far are corporate reductions and adjustments, the shutdown of Solistica's shared services center and 3PL back office with the procurement side reporting the most relevant efficiency so far. In terms of mobility of cargo, severe disruptions continued during the third quarter, mainly in cross-border circuits on both northbound and southbound that have resulted in prices dropping as demand became more intermittent, especially with clients of the automotive industry and those related to the steel and iron sector. Furthermore, the Mexican peso continue to strengthen, which, as you know, affects the U.S. dollar-denominated portion of the cross-border revenue. However, we are seeing signals of recovery in the retail sector in Mexico and enhancement in general terms in the American side. There are no signals of structural changes in the fundamentals of our industry. So we think that this adversity is temporary. We have also achieved some cost efficiencies related mainly to fuel that have helped to improve cost per kilometer, among other smaller enhancements. Now in the logistics business, we continue to face challenges across the board that are explained basically by a downturn in cargo and some disruptions with our e-commerce clients, which typically import merchandise from the United States to Mexico. However, we expect the situation to normalize towards the end of the year. Finally, in mobility of people, we reported a slight increase in revenue, but a better performance moving to the bottom line. We were able to successfully close our commercial pipeline of the quarter, mainly combining capital expenditure with churning out fleet from older non-efficient clients and allocating those units to new clients at more competitive prices, such effects will become more visible in the coming quarters as those new accounts start contributing revenue and fleet productivity. As you can see, it was a very busy quarter with several highlights in many fronts. Thanks for your attention. With this, I end my remarks. Please, Wolf, go ahead.
Wolf Silverstein: Thank you. Welcome, everyone. There are many financial highlights. First of all, there was margin stability in our three business divisions, including Solistica, cargo improved 430 basis points compared to the second quarter of this year. However, with the Solistica integration, Traxion has a much larger component of asset-light business lines which was 45% in terms of revenues this quarter and thus consolidated margin is lower compared to the same period of last year. As this business division continues to gain more relevance, the estimate consolidated margin for the company should be around 16%. Moving on, it is very important to note that the net debt to EBITDA ratio was 2.35x compared to 2.22x reported in the second quarter, just before the Solistica acquisition was finalized. This is very noteworthy as the ratio did not increase substantially and that we expect to end the year at similar levels. That translates into an increased profitability for the company. In this line, there's even another important aspect to highlight, which is that the interest expense remained virtually the same but with the acquisition of Solistica already in place. This basically means that we grew 14.5% our revenue base with virtually the same financial cost. This is indeed very good news and prove that this acquisition was exceptionally accretive and will continue to bring value over time as the integration is fully reflected in our P&L moving forward. Also, as Aby mentioned, we reduced significantly our CapEx for this year to accommodate the Solistica acquisition and still be within similar investment levels as in the past few years. In terms of financial results, aside from the interest expense that I just discussed, this quarter, the company did not have the foreign exchange benefit that contributed to net income in the third quarter of last year. Having said all that, Net income grew over 17%, more than revenues and EBITDA, which is a great highlight to mention this quarter. With this, I conclude my remarks and hand over to Tonio, Thanks.
Antonio Obregón: Thank you, Wolf. I will now walk you through some relevant ESG milestones and other tech-related developments. Perhaps the most important sustainability milestone is that this period we incorporated data regarding renewable electricity generation from solar panels installed in our facilities. This is indeed very good news and a tremendous step in terms of emissions reduction and energy efficiency as we continue to expand our logistics footprint and presence. Moreover, we released our 2024 integrated report in line with the most important ESG standards, mainly TCFD and GRI, which are the reflection of our strong commitment to governance, transparency, people and planet. During this period, Traxion obtained the ISO certifications regarding anticorruption and compliance management matters, thus reinforcing the company's integrity standards and corporate observance. Moving on. As you very well know, digitalization has transformed many of our business lines. For some years now, we have paid special attention to tech-driven ecosystems and have conducted many upgrades that are now deeply embedded in our business model that have enabled Traxion to be one step ahead of clients' needs and beyond competition. So in terms of tech advancements and digital strategy, Traxion successfully implemented an in-house developed artificial intelligence program to help our commercial force predict and optimize opportunities, enhancing the decision-making process and boosting talent across the company. This milestone consolidates even more of the company's digital transformation that has been its leadership trademark while strengthening the Intelligent Mobility Solutions platform. Thanks again for your attention. With this, I end management's remarks, and we'll open the floor to Q&A.
Operator: [Operator Instructions] And your first question comes from Anton Mortenkotter with GBM.
Unknown Analyst: I have two quick ones. One is, we've seen that the cargo truck utilization has been dropping in the last quarters. I was wondering when do you expect this to normalize? Or what kind of levels do you expect to see or should be sustainable in the long term? And also thinking about the industrial trends for the next year, the USMCA renegotiation, how are you positioning for that? And then what are your expectations [ ago ]?
Antonio Obregón: Anton, this is Tonio, thanks for your question. I'm going to answer the second question first. As many of you know, one of the biggest plans for Traxion is to expand into the United States because we think that is the natural geographic expansion for us, for the company. The cross-border market between Mexico and the U.S. is the fastest-growing market in transportation and logistics in the world currently. And we want to position ourselves in that market and into the United States. So I think that would be the best way to approach positive USMCA renegotiation, and all the benefits that it's going to bring to the table.
Aby Lijtszain Chernizky: Anton, regarding to -- this is Aby, regarding to the first question. So what we're doing is getting clients from different industries. We are now giving a lot of services to the car industry. So we are diversifying the industries from Traxion. So with that, we expect to be as good as it was before, maybe in the middle of the next year, first or second quarter of the next year.
Operator: And your next question comes from Edson Murguia with Seneca.
Edson Murguia: I have two of them, the first one is related to the personal mobility segment, you have a growth of 4.2%. And you mentioned in the earnings release that we execute some efficiencies. So I was relieved if you can give us or you could elaborate more about your type of efficiencies? Did you perform during the quarter? And my second question is about the fleet reduction. Looking ahead, can we expect the same trend of reduction of the fleet?
Antonio Obregón: Edson, this is Tonio. Regarding your second question in terms of fleet reduction, yes, you're right. If you see, we had fleet reductions -- slight fleet reductions in both segments. One has to do in mobility of people, the fleet reduction has to do with the profitability program, which is basically churning out buses from older, not that efficient clients into new clients that are willing to pay more market prices. So when you do that, you need to take out the operation, the bus and prepare it for the next one. So that bus is not operating for some time, perhaps two or three weeks and that reduces the average fleet on the quarter. It's not that we are reducing the fleet by design. It's just some metric that got caught up in the middle of the quarter. And regarding the reduction in the fleet -- in the cargo fleet, it's a normal thing. We are conducting a regular renovation program, which is not linear if we're going to renovate 400 trucks in a year. For example, it's not linear, that is perhaps not 100 trucks every quarter is different. So that's basically the reason. We are not reducing the fleet, quite the contrary. We want to keep it as it is. And regarding your first question, Edson, could you please repeat it?
Edson Murguia: Yes, what type of efficiency did you perform in the personal segment to achieve 4.2% growth?
Antonio Obregón: Sorry Edson, can you please repeat it again? We are not hearing it clearly.
Edson Murguia: Perhaps -- Yes, sorry, probably it's my phone. But what type of efficiency did you perform in the personal segment to grow 4.2% during the quarter?
Wolf Silverstein: This is Wolf. So let me try to be as clear I think it was the question. So in the mobility of people, as we mentioned, particularly for this 2025, we run this program that is a profitability program client that we are basically, as Tonio mentioned at the beginning, shuffling the clients that pay less for clients that can pay more, considering the opportunity that we saw in the market to raise some of the prices. So this, combined with the renewal program and obviously, let's say, the overhaul of the units that we need to put in place so we can allocate the buses to the new clients. This is basically what we're doing, in particular this year instead of just growing as it was similar in the past. So it's basically the most different problem that will run this particular year. So this is what you are seeing that the margins in that business are growing even though maybe the -- let's say, the revenues are similar than the inflation.
Operator: Your next question comes from Felix Garcia with [indiscernible] Research.
Unknown Analyst: Felix Garcia from [indiscernible] Research. First, congratulations on the successful integration of Solistica. Could you share which operational or client synergies have already started to materialize? And whether the 100-day plan help identify additional efficiency opportunities? Secondly, we understand the freight division faced a temporary slowdown in cross-border operations. Have you started to see any signs of recovery in demand or contract reactivation, particularly within the automotive sector?
Antonio Obregón: Felix, I'm Tonio, I'm going to answer your first question. There are many synergies, but perhaps the most relevant one is that we basically unplugged the shared services center of Solistica and all the 3PL back-office operation and plugged it into the Traxion platform, which brought many costs and expenses savings in overhead, in corporate, in facilities and other tech-related things. But perhaps the most significant synergies we have identified so far and the most that have materialized in the first quarter, the faster ones, perhaps are in procurement, which as you know, we have a huge procurement platform. We do strategic negotiation and other things. And those are the main efficiencies. Effectively in the first 100 days of operation, we identified -- obviously, as you can imagine, we had identified some synergies that were more visible than evident. But once you have the company in your platform, there are others that are not that visible that are also achievable. So we have been with the company for three months. We think that there are going to be other synergies as time goes by. And I think for -- I think that the next year, you're going to be able to see some other efficiencies and synergies more tangible and more evidently in margin mostly.
Rodolfo Mercado Franco: Felix, this is Rodolfo. So regarding your second question about the cross-border business or industry and the automotive, as you're saying, we -- the automotive has been hit in this growth business services. And we haven't seen very much of recuperation in this month. That's why Aby just said it in the before question is we're looking for other industries to switch our equipment and our trucks, so we can avoid the uncertainty that we have the automotive industry right now.
Operator: Your next question comes from Martin Lara with Miranda Global Research.
Martín Lara: Thank you for the call. Your leverage remains at very low levels. How do you see it going forward? Do you think it would reach 2x by the end of 2026?
Wolf Silverstein: This is Wolf. So as we mentioned before, let's say, in the previous calls, even though after the Solistica acquisition, we are remaining at similar levels that we were before the acquisition. So that's very good news for the company and for the leverage of the company. Let's say that, as you know, the CapEx plan in an organic way for 2025, it was lower than the previous years. So we are expecting to deleverage the company in a couple of, let's say, quarters. And I think that's also good news regarding all the synergies that we're planning with Solistica on the Traxion platform plus the reducing CapEx and the generation of the cash flow.
Martín Lara: Okay. And how do you see the margin -- the EBITDA margins in logistics and technology?
Wolf Silverstein: You saw this quarter, it was something around, let's say, even though 9%. As we mentioned before, Solistica basically comes at the beginning with a similar levels of around 5% margin. Inside of Traxion, we think that this particular acquisition could boost 100 and 200 basis points more inside of Traxion. So at the end, let's say, this particular division at the end could be something between 8% to 9.5% margin in the division.
Operator: And your next question comes from Fernanda Recchia with BTG.
Fernanda Recchia: Two from our side as well. So the first on the top line growth that you provided for the year in last quarter, you mentioned an expectation of reaching between 14% to 16% of top line growth. But when we look at the nine months, you are -- was 6%, just wondering if you expect, still, to reach the guidance or maybe it could be a little bit lower because of the softer demand that we are seeing? And second, maybe if you could comment on the cash flow generation for next year.
Antonio Obregón: Fernanda, this is Tonio. Thanks for your question. Yes, regarding the first question is we are very confident that our year-end figures are going to be within the range of guidance that we provided in the previous call. So we are -- we're confident that we're going to achieve it.
Wolf Silverstein: Thank you, Fernanda. This is Wolf again. So regarding your second question regarding the cash flow generation for 2026. As you know, and we mentioned since 2024, the company was able basically to, let's say, to stabilize the operating cash flow neutral the previous year. So after, obviously, the Solistica acquisition, we're planning to have a positive cash flow generation for 2026.
Operator: And your next question comes from Jorge [indiscernible].
Unknown Analyst: You mentioned you see expansion into the U.S. as one of the best ways to capture next years trends. If you could delve further into that, how would you prefer getting involved? Would it be via M&A on an existing competitor? Or would it be through fleet expansion?
Antonio Obregón: Jorge, this is Tonio. Thanks for your question. Yes, we think that the best approach to tackle the opportunities in the cross-border market for us, would be via an M&A transaction. We think it's faster and more efficient than establishing an organic growth operation. It's going to take more time. And I mean if you take a look at the multiples and the valuations of the cargo companies in the U.S., it's a very attractive entry point. And we also think that the USMCA negotiations are going to be carried out positively. And when this [indiscernible] comes due next year. So yes, the answer to your question is M&A.
Operator: [Operator Instructions] Now we'll pause for a couple of moments to see if there are any final questions. Thank you. This now concludes our question-and-answer session. I would like to turn the floor back to Aby Lijtszain, Executive President, for closing comments.
Aby Lijtszain Chernizky: Our long-term view has not changed. We are confident that this downturn is temporary and that things are going to get back to normal as talks regarding USMCA evolves and the tariff uncertainty dissipates. We are confident that the North American trade will continue. It is the fastest-growing trade market in the world despite the noise and short-term disruptions. Traxion will continue to seize the opportunities, grow and improve it logistic solutions umbrella as we have always done in the past. Thanks for your attention, and have an excellent day.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today's teleconference. Please disconnect your lines, and have a wonderful day.